Operator: Hello, ladies and gentlemen, welcome to Sienna Senior Living Inc.'s Q3 2025 Conference Call. Today's call is hosted by Nitin Jain, President and Chief Executive Officer; and David Hung, Chief Financial Officer; and Executive Vice President, Investments of Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and Risk Factors section in the company's public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the company's results in its MD&A and financial statements for the period, which are posted on SEDAR+ and can be found on the company's website, siennaliving.ca. Today's call is being recorded, and a replay will be available. Instructions for accessing the call are posted on the company's website and the details are provided in the company's news release. The company has posted slides, which accompany the host's remarks on the company website under Events and Presentations. With that, I will now turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, Sarah. Good morning, everyone, and thank you for joining us today. The third quarter set the stage for a strong finish to this year. There's positive momentum across every part of our company. We achieved strong operational results in both lines of our business, successfully completed 2 development projects in Ontario and continue to grow through acquisitions. We're on track to make 2025 a year that marks the next stage of Sienna's growth journey. Both operating platforms delivered strong results in the third quarter. Same-property NOI increased by 13.2% in the Retirement segment and by 6.7% in Long-Term Care. Key drivers of the double-digit increase in the Retirement segment were a strong occupancy increase and rental rate growth as well as higher care revenue. Average same-property occupancy was up 230 basis points year-over-year and has reached 94.1% in the third quarter. Following the quarter, monthly occupancy increased to 94.7% in October, putting us well on our way to achieve a 95% target by the end of this year. Our results also reflect an increase in care revenue. We increasingly apply our expertise in clinical care at our retirement platform, which allows residents to stay with us longer as their care needs change. Additional key drivers behind the strong performance in our Retirement segment are a robust sales platform and focused marketing campaigns. Our call center leads remain high and the number of tours in our properties have significantly increased each quarter this year. Our Q3 leads have increased by 37% year-over-year compared to the same period last year, and we are also encouraged by the results of our recently hosted National Open House in October. We generated a much stronger double-digit increase of new leads compared to our previous event in July. In addition, we maintain a robust focus on hospital outreach and excellent relationships with health care and business partners in the communities we operate in. All of these initiatives are expected to drive increasing lead generation and future move-ins. Beyond the strong same-property performance in retirement segment, we are pleased with the results of our optimization efforts in 5 of our properties. Occupancy increased by 970 basis points year-over-year in Q3 in the optimization portfolio and supported NOI growth of over 40%. Our initiatives to better position these assets within the local markets are clearly delivering results. With respect to our long-term care operations, our fully occupied homes with growing wait lists, higher revenue from private accommodations and annual government funding increases all added to the strength of our results. Our government-funded long-term care operations add significant value to our business and as they provide stability and are largely insulated from market volatility or economic uncertainty. In the coming quarters, we will also start to see the contributions from our recently opened redevelopment projects. Moving to Slide 6. In September, we opened our redeveloped long-term care community in North Bay, followed by a campus of care in Brantford in October. These large-scale projects are complex, require deep expertise and trusted partnerships, and we are especially proud to have delivered them on time and on budget. Once fully stabilized, each of our long-term care redevelopment is expected to grow Sienna's AFFO per share by about 3%. With long wait list, we expect to see the homes to be fully occupied within 60 days after they open. We are also on track to complete our next redevelopment project in Keswick in 2027. With respect to our development pipeline, we are encouraged by the funding improvements announced by the Ontario government this summer. Improvements for projects in the Greater Toronto area are especially important to us, given that over 80% of our remaining redevelopment pipeline is, in fact, in the GTA. As a result of these improvements, we expect to start construction of 1 to 2 projects next year. Since the beginning of the year, we have also been very active on the acquisition front. The majority of the properties we acquired in 2025 are less than 10 years old and are strategically located in large urban centers. During the third quarter, we strengthened our footprint in the Greater Toronto Area with the addition of our previously announced 133 suite retirement residence and 192-bed long-term care home. Since the end of the quarter, we have also entered into 2 additional acquisition agreements in Ontario. Last week, we signed a purchase agreement for Hygate on Lexington, our 216-suite retirement residence in the city of Waterloo. We will acquire the property in this desirable market for approximately $93.3 million. Hygate also includes a 4.7-acre development site, which is zoned for a retirement residence or residential condominium. Two days ago, we signed a purchase agreement for LaSalle Park, a 123-suite retirement residence in Burlington. A suburb in GTA, we will initially acquire a 78.2% interest in the property for approximately $67.2 million, followed by an additional 10.9% in January 2026 and the final 10.9% in 5 years. This is our third high-quality acquisition in the Greater Toronto area this year, where we already have a significant presence and continue to build scale. Collectively, we have added over $800 million of assets through acquisitions and developments to our platform in 2025, and our pipeline continues to stay very strong. Investing in our team members -- as we grow and scale our operations, investing in our team members is fundamental to the success of Sienna. With over 15,000 employees, we recognize the importance of programs focused on learning and development, leadership skills, recognition and rewards, all designed to attract and retain our highly engaged workforce. The positive impact of these initiatives is reflected in our most recent employee engagement survey, which was completed in September. The participation rate reached an all-time high of 86%, and the team member engagement score rose for the fifth consecutive time. We're extremely proud of this achievement, which is crucial for the continued success of Sienna. Our investment in our team members was also recognized by Time Magazine, who named Sienna one of Canada's Best Companies in 2025. With that, I'll turn it over to David for an update on our financial results.
David Hung: Thank you, Nitin, and good morning, everyone. I will start on Slide 10 for financial results. In my commentary, in accordance with our MD&A disclosure, I will make reference to our operating results, excluding onetime items. In Q3 2025, revenue on a proportionate basis increased by 16.4% year-over-year to $261.7 million, this increase was largely due to occupancy and rental rate growth as well as increased care revenue in the Retirement segment. Adding to the increase were the contributions from our long-term care platform, including higher flow-through funding for direct care, higher private accommodation revenue and additional revenue from acquisitions completed in 2025. Same-property NOI increased by 9.7% to $46.4 million in Q3 2025, including by 13.2% in our Retirement segment and by 6.7% in the Long-Term Care segment. In the Retirement segment, same property NOI increased by $2.6 million in Q3 2025 compared to last year, largely as a result of improved occupancy and rate growth. These improvements in addition to generating higher care revenue and maintaining a strict focus on operating expenses supported the year-over-year 220 basis point improvement of our same-property operating margin. In addition, we are making good progress with respect to our asset optimization initiatives, which includes 5 assets in the company's retirement portfolio. Q3 NOI in the optimization portfolio increased by over 40% year-over-year with an average margin increase of approximately 540 basis points compared to the same period in 2024. In the Long Term Care segment, NOI increased by $1.5 million, fully occupied homes with growing wait list and continued improvements in private occupancy supported the year-over-year growth. During Q3 2025, operating funds from operations increased by 33.3% to $31.8 million compared to last year, primarily due to higher NOI. Adjusted funds from operations increased by 36.1% to $27.7 million compared to last year. The increase was mainly due to higher OFFO, offset by an increase in maintenance capital expenditures. On a per share basis, OFFO and AFFO increased by 9.6% and 12%, respectively, in Q3 2025. Our Q3 2025 AFFO payout ratio was 78.7% compared to 91.3% in Q3 2024. This significant improvement highlights Sienna's strong operating results and our successful initiatives of deploying capital we raised to fund our growth. In the coming quarters, we also expect to see contributions from our recently completed redevelopment projects reflected in our AFFO. Each redevelopment is expected to contribute on average an additional $4.7 million to Sienna's annual AFFO once it is fully operational. This represents an approximate 3% increase in AFFO per share for each project. In addition, these projects will enhance our balance sheet and further elevate the quality of our asset pool. Throughout the third quarter, we maintained our strong financial position and balance sheet. We ended the quarter with $464 million of liquidity and $1.3 billion of unencumbered assets. On August 21, we issued $175 million in unsecured debentures at an interest rate of 4.112% to finance our growth initiatives. The significant demand for the debenture resulted in the offering being multiple times oversubscribed. With respect to Sienna's upcoming debt maturities, including the maturity of our $175 million Series E unsecured debenture in Q1 2026, we have multiple attractive financing options available to us. With that, I will turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you, David. Our disciplined approach to enhancing our operations is clearly reflected in our results. Combined with our success in growing through acquisitions and developments, it reinforces our confidence in the outlook for Sienna, both in the near term and in the years ahead. We are on track to end the year with same-property occupancy of 95% in the Retirement segment, ahead of our original Q1 2026 target. In line with strong year-to-date performance, we also updated our same-property NOI growth targets. In our Retirement segment, we expect same-property NOI to increase between 13% to 14% year-over-year. And in Long-Term Care, we anticipate year-over-year NOI growth of 4% to 5% in our same-property portfolio. Our company is at the beginning of an exceptional growth phase. Supply is expected to remain constrained in the foreseeable future, while demand and operating fundamentals continue to strengthen. With our growing scale and the support of our highly engaged team members, we believe that we have a tremendous opportunity to generate sustained growth for many, many years to come. On behalf of our entire team and our Board of Directors, I want to thank our shareholders and for all of you on this call for your continued support. Sarah, we are ready for questions.
Operator: [Operator Instructions] Your first question comes from Jonathan Kelcher with TD Cowen.
Jonathan Kelcher: First question, just on the operations front looks -- on the Retirement side, it looks like you are sort of hitting it out of the ballpark a little bit here at 95 -- hitting the 95%. What should we think about going forward in terms of rent growth once you sort of meet that target?
Nitin Jain: Thank you, Jonathan, and good morning. We expect our rental growth to be in the range of 4% to 5%, which is a combination of annual escalations, plus there would be some opportunity to, in fact, look at market rents again when you're running at those high occupancy. And even though your question was not around margin, once we have said before that -- once we get to the higher margin, a lot of that revenue will continue to fall on the bottom line. So the NOI growth rental revenue will be a part of it, but there will be multiple other levers, which will drive the NOI growth.
Jonathan Kelcher: Okay. Fair enough. And then just secondly, on the acquisitions, could you maybe give a little bit more color on [indiscernible]. Just in terms of like the remaining 22%, is that pricing set? Do you see a lot of runway for rent growth there? Like the 5.7% cap rate is a little bit on the low side for what you guys have been buying in retirement?
David Hung: Yes. No, thanks for that question, Jonathan. So just in terms of the structure, we are buying 78% now at $67.2 million. We're going to buy another 11% in Q1 of 2026, also at the same price that we're buying now. So it would be at 100%, the value would be $86 million. And then 5 years from now, it would be at the fair market value at that time, and we'll have some predetermined metrics for how we calculate that. I think that in terms of rental rate growth, it's going to be similar to what Nitin said, we see opportunity in the range of 4% to 5% rental rate growth within that market. So -- and a lot of that will also fall to the bottom line and expand the margins within that property.
Operator: The next question comes from Himanshu Gupta with Scotiabank.
Himanshu Gupta: So first on long-term care, what led to NOI growth here? I mean I know you have been guiding to around like 2% type growth, and we got like 4% to 5% in the year so far. So is there like a margin expansion story in LTC as well?
David Hung: Yes. It's a couple of factors, Himanshu. One is higher funding from all 3 provinces in Ontario, Alberta and BC. And that has run a little bit higher than our increase in expenses. The second is around preferred revenues. So we have been driving growth through filling in our beds with residents who pay private accommodation rates. And then there's a little bit around the acquisition of Nicola. We did buy that earlier in the year. So that's contributing moderately to the growth in the Long-Term Care NOI.
Himanshu Gupta: Okay. Okay. Fair enough. And I mean sticking to LTC, but on the developments, Brantford and North Bay is complete now. When do you start receiving construction funding? And when will you start reflecting that in the financials? And I guess it will be like a breakdown between like interest income and contribution to AFFO.
David Hung: That's right. So CFS funding starts when the building is open. And in the case of Northern Heights, we opened the building and had our first -- welcomed our first residents on September 7. So CFS started flowing on September 7. And then Oakwood Commons, which is in Brantford, opened up in October, and that's when the CFS would start flowing at that time. So we've actually already started seeing a little bit of the CFS flowing through in Q3. We're going to see the full impact of that at least for Northern Heights in Q4 and then Brantford would be Q1. In terms of the breakdown of the CFS, we've actually disclosed that in our MD&A. So out of the $3.3 million, around $2.2 million would be interest income and the other $1.1 million approximately would be an add-back to our AFFO.
Himanshu Gupta: Got it. Okay. Very helpful. My last question is on the retirement home side I mean, I think, Nitin, obviously, you mentioned 4% to 5% kind of rental growth. And if I look on the expenses side, same property expenses, I think they were up like 3% to 4% in 2025 so far. Is that a good run rate for expenses for Q4 and beyond?
Nitin Jain: Yes, I think that's a good assumption, what you just talked about the rental growth and expense growth. One of the things that we have -- one idea we have -- which most people talk about is how more of it falls to the bottom line. The second part is when homes are stabilized. First of all, we use very less incentives and incentives around 1% to 2% of revenue, but our ability to remove those, that definitely helps. And from a - also from an expense perspective, when you have consistency in the number of residents in the home, you can become a lot more consistent in scheduling and other things, which also drive down costs. So as a starting point, the assumptions you've talked about, Himanshu, are not unreasonable, but we do expect an opportunity to, in fact, drive them lower from an expense perspective.
Himanshu Gupta: Okay. Very helpful. Maybe just the last question here. on the retirement home occupancy. I think you mentioned Q3 leads were up like double digits, if I heard it correctly. So it doesn't look like occupancy is going to stop here at like 95%. Is that a fair assumption given how the leads are coming in and you still have more opportunity to ramp it up?
Nitin Jain: Yes. I mean that is a fair assumption. Out of our 44 homes, roughly, 25% of them are close to 100%, if not at 100%. And then the other are, call it, 95% to 98%. So we're not -- it is not unusual to see really high occupancy. At a portfolio basis, it remains to be seen what can be sustainable. And I think the idea that it should not stop at 95% is that's not unreasonable. I think what remains to be seen whether we will go to 98% or would it be -- would the next number be 96%. But I think that remains to be seen as an industry.
Operator: The next question comes from Sairam Srinivas with Cormark Securities.
Sairam Srinivas: Just looking at the redevelopments you guys completed, how should we be thinking about the stabilization time line over here? And I know residents have been coming in. So when do we -- so should we look at probably 12 months when this 98% or 99% occupied?
Nitin Jain: Thank you. One of the things that -- which is not well understood is really how well the long-term care redevelopment works, especially after the government funding. So David mentioned on September 7, we opened our North Bay property. On day 1, you get fully funded. And the expectations from the government is that you will be fully leased up within 60 days and we are fully leased up in North Bay in 60 days. The Brantford opened in October and we get full funding on day 1, and it would be fully leased up in 60 days. So in fact, there is no lease-up in Long-Term Care. In Brantford we also have a campus of care, which has retirement home attached to it, and that is also leasing quite well.
Sairam Srinivas: And when it comes to Brantford, it's a mix of both retirement and LTC there. How does the funding work? And like is -- are governments more incentivized to actually provide funding for these kind of projects?
Nitin Jain: So government's funding is dedicated just to long-term care, and there is a whole mechanism to ensure your expenses, capital expenses are properly allocated just to long-term care. Your operational expenses are properly allocated just to long-term care. So -- and we have many other campuses. So that is -- and there are a few others who have campuses. So this is well established based in the industry.
Sairam Srinivas: That makes sense. And maybe my last question around acquisitions. Obviously, you guys have been pretty active both in the retirement as well as LTC space. When you look at the headlines right now, we do see a lot of infrastructure funds or the private players looking into these kind of assets. So when you compete in the market right now, are you seeing a lot more of the private funds come in? Or like what's the competition like?
Nitin Jain: Absolutely. And senior living has been a quite competitive space. One of the key factors for us is we know how to operate them. This is not just a pure rental business. Operations are complex. And the fact that we have 15,000 employees, I mean, that might be all the real estate companies combined and just the nature of the work that we do. So one of the things that works in our benefit is really understanding the complexity of operations and driving synergies out of it. And this is also a very relationship-focused business, even though we all compete with each other, a lot of the sector has been around for a while. Relationships are important in this space. And usually, when someone is selling, whether it's generational or whether it's -- they've built it and they want to sell, they want to make sure that they're selling it to people they know can close on a timely basis. And because it has a lot -- a high number of team members and residents involved, they want to make sure it gets to the right place. So all those things play. And I think our -- instead of me saying that we have been quite successful, you can just look at our numbers. We have been quite successful in closing -- getting these acquisitions and closing them.
Sairam Srinivas: No, that makes sense. And then sorry, I guess one last from me. You obviously mentioned these are operationally intense businesses and one huge part of that is labor costs. As you get into '26, do you see any bottlenecks from that perspective? And what are the challenges that had come up from the talent sourcing perspective?
Nitin Jain: You're talking about labor perspective, Sairam?
Sairam Srinivas: Yes.
Nitin Jain: So I would say it's -- the industry as a whole has got better from a labor perspective. Immigration helps significantly. 5 years ago, we made a major pivot on the whole idea of you take care of your team, they'll take care of your customer, residents and business will take care of itself. As simple as it sounds, that has had tremendous outcome for us. In the last 2 years, our turnover is down by 60%, 6-0. So we are hiring a lot many less people. People are staying much longer. And that helps not only from a labor perspective in resident -- in retirement homes, helps drive occupancy, residents get comfortable, they refer us more. In long-term care, it's driving less compliance issues, less quality issues, residents are happy. So we are seeing massive improvements in labor front. And other than some very hard-to-fill areas, we, in fact, have no vacancies across our portfolio.
Operator: The next question comes from Giuliano Thornhill with National Bank Capital Markets.
Giuliano Thornhill: I'm just wondering what led to the big occupancy uptick in your same-property portfolio in August.
Nitin Jain: So thank you, Giuliano. We've been working. The strategy has been the same. We are very, very local. The relationship with the hospitals, the relationship with other health care providers, word of mouth, all of those things are important. And it is not, frankly, rocket science. The idea is to ensure you have a set of processes and you want to make sure we get done. So the approach we're taking is not to come up with new programs, but be disciplined on the things that we have and to do them well on a regular basis. That applies to our call center, that applies to how we follow with leads, that applies to the sales cycle and we are seeing good results with it upfront, and we do expect that to continue.
Giuliano Thornhill: Okay. So just like on the retirement portion, is that like localized to geography at all or like specific to a couple of properties? Or is it more just broad-based?
Nitin Jain: The occupancy gains is broad-based. So it's not that one home increased occupancy significantly and that moved the needle. It is we are seeing a consistent increase across majority of our portfolio.
Giuliano Thornhill: Okay. And then just another question was just on the capital funding program announced by the government last quarter. I'm wondering if that, I guess, revised funding program has led you to consider or improve the ability to pursue your GTA properties, your Class C GTA properties?
David Hung: It is, Giuliano. So we've been studying the new program with great interest. 80% of our properties are within the GTA, and this program significantly improves the funding within the GTA. We're currently completing some of the analysis in terms of which projects would it make sense to proceed with. But our intention would be to proceed with 1 to 2 projects in 2026 within the GTA.
Giuliano Thornhill: And how are you deciding on which ones to pursue within the GTA? Is it mostly based on like, yes, just how are you factoring, I guess, the land cost into that decision?
Nitin Jain: So one of the thing which is quite unique about us is that we own quite a bit of land in GTA, which is usually the most difficult to find. And we have been working on these projects for 3 or 4 years because the planning process is quite long. So we have had 4 projects roughly that we have been nudging along with the intent that one day there would be an appropriate funding and that time has come. So these projects will be defined where are they in the planning cycle, what the returns are, which one are -- operationally have the biggest impact. So for example, we have a couple of homes, which will not only solve and build capacity for that site, but in fact, would help us decant another home so we can move all the residents there. So all of those things will go into play. These projects will be bigger than the 160 beds that we have seen in the past. So we would see a material impact of those projects once they are completed.
Giuliano Thornhill: Okay. And then just my last question, just on the ATM. How are you guys thinking about that as a funding source? Are you going to anticipate to be quite active on that? Are you going to be leaning more on your -- on the debt markets for liquidity going forward?
David Hung: That's a good question, Giuliano. So in Q3 we did issue 1.3 million shares under our ATM at an average price of $18.13. We've been quite disciplined in terms of the use of our ATM. We'll consider all forms of capital when we are looking at acquisitions or redevelopment. So we did issue about $24 million on our ATM this quarter, but we also did $175 million in the unsecured debt market because of the attractiveness of the cost of capital there to fund our acquisitions. So really, we're looking at both. But as it relates to the ATM, we want to make sure that we have specific uses for it as we're issuing shares.
Operator: The next question comes from Pammi Bir with RBC Capital Markets.
Pammi Bir: Just coming back to the LaSalle acquisition, you're buying a nonmanaging interest at a lower cap rate than what you've done in the past. What made this deal attractive to you versus maybe others in the market? And are there maybe more of these that you expect to do with this vendor?
Nitin Jain: Thank you, Pammi, and good morning. So LaSalle Park is owned by [ Reichmann ] Senior Housing. We have had a very successful partnership with them Elgin Falls. We build their home together, they manage for a period of time, and then we will buy that. The 5.75% cap rate is, in fact, not that unusual for really good properties. LaSalle Park is -- when I say it's fully occupied, I mean it's not 95%, it's closer to 100% occupied. They have strong rental growth. The home is built extremely well. So it will stand the time of competition. And we continue to see good occupancy growth over time. In this case, it was the interest of the seller to manage it and considering that we have a relationship and we are comfortable with their management that we -- that worked for us. But from a return perspective, we think we will do extremely well in this opportunity.
Pammi Bir: And then, I guess, okay, you mentioned Elgin falls as well. So is there -- are there more of these within their perhaps pipeline that you might do in like as part of your acquisition part over the next year or so?
Nitin Jain: Yes. I hope if they ever decide to do more that they would think of us. Again, I do not know their strategy. Obviously, they have been in this space for a long period of time, and I don't think they are expecting to exit it. This is a one-off opportunity where there were other partners involved and they wanted to sell. And if they have another one, we are hoping that they will consider us first.
Pammi Bir: Okay. Then just lastly, on the additional care revenue, I think you mentioned that a few times in terms of the source of some of the growth. Can you just expand on what new services are being offered? Or is it really just an increase in the volume of maybe the same services that are being offered? And I'm just curious if you have a sense of what the growth rate in your service revenue growth has been maybe on a year-to-date basis relative to where it was versus last year?
Nitin Jain: Absolutely. I think this is -- frankly, would be one of the big difference maker for us at Sienna because we're not shy about providing care, and I would say we are quite good at it. So the expertise that we have in long-term care is how do we use that in retirement and not only provide more care but also do it at a price where residents can afford it. So we recently made the change, Jennifer, who led our long-term care, we moved into retirement with the intention of how to add the right care services to our retirement living. So the one would be increasing our care services, and we are seeing more and more demand for assisted living and memory care. So that would be one. Second, we looked at pricing of a car. So from 2022 to 2024, our care hours went up significantly, but they were not adding much to the bottom line. We were not pricing it correctly. And we were also not having the -- we also didn't have the right structure to make sure we can be more efficient. So we have fixed that this year. It is a multiyear strategy because you don't want a big shock to the system. If someone is paying $100, you don't want to change the price to $300. So we will do that over time. So that would change. And then we continue to think about how do we bundle services which are in the best interest of us, team members and residents, and we will do that. So I would say it will be a combination of all of those things. And that's why when Jonathan asked the question on just rental rate growth, I think that would be one part of our growth strategy. The other, frankly, is going to come from care services.
Pammi Bir: Is the care service revenue growing at a faster rate than that blended 4% to 5% that you mentioned?
Nitin Jain: Absolutely. I mean those -- the expenses are also a bit higher there. So those numbers go faster. The care revenue is growing significantly faster than anything else. I mean, it started at a low base, but high double digit is not -- is the number that it grown in the last few years, and we expect that to continue on. There is a shortage of long-term care beds in every province we are in. Residents need more care. Hospitals are full. And the right place for residents who do not need long-term care should not be in hospital, they should be in a retirement home. And the idea is how do we make that possible.
Pammi Bir: Right. Okay. So a lower margin but higher volume growth in that piece of the business?
Nitin Jain: Yes. Yes.
Pammi Bir: That's all I have.
Operator: The next question comes from Tal Woolley with CIBC.
Tal Woolley: I joined late. So if some of the stuff has been answered, please tell me to go look at the transcript. I'm just curious how you see acquisition pricing playing out over the next couple of years. I think for the last 5 years, any time we've talked about retirement assets, basically, the going in cap rate has been kind of plus or minus 6%. With your stock prices rising, with the sector occupancy tightening up, how do you think about the movement of deal pricing expectations goes over the next couple of years?
Nitin Jain: We would see increased competition in the deal space, which is a good thing because that keeps the values high and also, again, goes to the idea that this sector is not going away anytime soon. There has been significant growth in this space. And as we talked about before, this is the beginning of next 25 years. There's -- it would always be competitive and -- all the deals that we have closed this year, whether it was our Alberta portfolio or the properties in Ottawa or the property in Waterloo or the one in Mississauga or the one in Burlington, they were all heavily competed against. We don't always get all of them, but we get our fair share. And it's just making sure the deal structure is right for the vendor, our ability to do other things being flexible with our approach. So a lot of those things go into play. And you're right, it has been stuck at 6% for a while. And for Class A properties, 5.75% is not an unreasonable number. And I'll just -- our Hygate property, for example, in Waterloo, we've bought it for around $430,000 a door and the construction cost for our Brantford property was close to $500,000 a door. And even though it was a much bigger home with long-term care. So it's still significantly below replacement cost.
Tal Woolley: And in terms of your overall appetite, like is the constraining factor capital availability? Or are there some real operational management constraints like in terms of what you can take on in a given year?
Nitin Jain: I think it's a combination of all of those things, but we -- the fact we're sitting at $813 million of development acquisition is not by accident. This is our biggest year so far. And our view is this is not an anomaly. We should expect that going forward. And we spent a lot of time on our structure, beginning of this year, making sure the right people are working on the right things. What we don't want to do is have acquisitions derail our operations, and we've seen that in the results that not only we're acquiring and developing, but our operational results continue to stay strong. So the structure work that we did in the beginning of this year has worked out extremely well for us, and we'll continue to tweak it. So we do that work. So I would say we continue to see more and more opportunities. Our pipeline stays extremely strong, and I think we'll continue to find opportunities both in development and acquisitions. p
Tal Woolley: And then just lastly, on the LaSalle Park transaction. I think if I do my math right, $700,000 a door, give or take. That's probably our most expensive transaction on a per dollar basis.
Nitin Jain: It is -- and this is again one of the things that you factored in is obviously the per door number. The second is how much NOI is it generating in that, that home does extremely well. And per door number, for example, not all suites are the same. We have property we bought in Ottawa, where the price was close to $300,000 a door. Those suites around half the size of what LaSalle park are. the suite mix is quite a bit different, and the location is quite a bit different. So the $700,000 is pretty close to replacement cost in some cases, but it comes fully leased up. And it's in an incredible part of Burlington.
Tal Woolley: And I appreciate you've got the management contract in place. Like long term, are these the types of like sort of higher value assets, something you guys are interested in playing in more seriously?
Nitin Jain: Well, absolutely. We have those today. We've bought the 2 Waterford properties in Ottawa and Kingston many years ago. We just bought Hazeldean which is an $85 million home 170 suite, around $500,000 a door. We have our properties in BC of high end. So we -- our model is we have 3 different kind of properties, call it in the St. Regis of the world which have full services, a lot more amenity, the full service, call it the Sheraton of the world, and I'm using these because I came with a hotel background, and then we would have some which are in smaller communities, which are limited services, and that's exactly what the residents need. So we -- I would say we have those 3 tiers, and we're very comfortable with operating all those 3 tiers, acquiring all those 3 tiers and building all those 3 tiers.
Tal Woolley: And do you have any particular view on like where the demand ultimately is going to lie as this market really starts to grow in terms of the population.
Nitin Jain: That is such an interesting question because you would think that all this demand would be in the big cities, such as Toronto and Vancouver, which is true. These markets continue to be very strong. But having said that, we see very strong demands in Waterloo market, we just bought Hygate as we talked about. We have 2 other properties there. They're running close to 100% full our market and BC is very, very strong. Even our properties in offshore, we have a home that we did a strategic renovation, and that's running close to 100%. So I would say there is going to be demand all over. So the whole idea that there are not enough places for seniors to live we are seeing that play out. So other than some very, very specific markets or very, very specific locations. I think you will see occupancy gains all around.
Operator: The next question comes from Tom Callaghan with BMO Capital Markets.
Tom Callaghan: Maybe just one for me on the balance sheet. Obviously, there's significant opportunity ahead on both the internal and external growth for the business. So just kind of curious to get your thinking on the balance sheet from a leverage perspective. Is there kind of a debt-to-EBITDA you have in mind and think about on kind of a run rate basis? And conversely, if the right external opportunity pops up and it's a bit chunkier, where are you comfortable leverage-wise?
David Hung: Yes. That's a great question, Tom. From a debt-to-EBITDA perspective, we've been talking about the last couple of years being under 8x debt to EBITDA. We realize that currently our debt-to-EBITDA is at 8.8x. But I would point out the fact that that's at a moment in time because as the debt is as of September 30, whereas the EBITDA is a trailing 12 months. So if we look on a pro forma basis, we would find that our debt-to-EBITDA on a run rate basis would be under 8x. And that's where we would feel comfortable over the medium term. If something chunky came up and we really liked it, we might temporarily go up above that point. But over the medium term, we'd like to get back down under 8x.
Operator: Your next question is a follow-up from Giuliano Thornhill with National Bank Capital Markets.
Giuliano Thornhill: Sorry, I just had one follow-up. Of the acquisitions you've done year-to-date, how have they -- the integration, has that really met your expectations? Or is it tracking ahead? And I guess, like occupancy, margin and why?
Nitin Jain: Thank you. And I think that's when we talk about our ability to close and I think it is -- most people think doing the acquisition is the most difficult part, and I would just argue that I think competitively operating is a lot more difficult. And this is where we are really seeing great success in Alberta, for example, the 4 properties. They are, in fact, running ahead of schedule. We had some income support, which we've not drawn and expect to give it back to the owners, which is a win-win. And the 2 properties we bought in Ottawa. One of them had an earn-out structure for the seller and we would be giving them an earn-out structure and we share that so that property is doing better than what we expected it to be. The home we just bought in Mississauga, which is a long-term care home, it's full. We know that extremely well. So on day 1 we have synergies and it's going to perform better than what we underwrote. And Nicola Lodge, the home we bought in BC, that we already owned a majority of it. So that fit extremely well. And when the others close, we do expect them to do -- to perform because of the work that we do to make sure we underwrite it correctly and then how do we integrate it.
Operator: This concludes the question-and-answer session and does conclude today's conference call. We thank you for joining. You may now disconnect.